Unidentified Company Representative: Investors and analysts, good afternoon. On behalf of BEWG, welcome to our 2023 Meeting. And I am IR Navis from BEWG. And we're very grateful for your long-term care and support. First of all, let me present the management attending today's meeting. They are; Lehigh phone of the BEWG, Financial Director and Secretary, Woon Cheung Tung of BEWG; and the Rotating Chair and VP of BEWG. And before we start the presentation of our 2023 performance, please let me remind you that both, assets, performance of the BEWG would be settled in RMB. So starting from this, we could see that all financial performance will be in RMB, so that you will have a more comprehensive understanding of our performance. And now we will hand over to the Li Quoh [ph] to introduce our performance in 2023.
Unidentified Company Representative: Hi, everybody. Now, on behalf of the BEWG, I would like to give you introduction to our 2023 performance. First of all, financial statements in terms of revenue as of December 31, 2023, the main business revenue amounted to RMB24.5 billion. All in RMB, and if there will be Hong Kong Dollar, I will emphasize that; and it's up by 14% compared with RMB21.5 billion in 2022. And net profit attributable to parent company was RMB1.9 billion, 60% higher than RMB1.2 billion in 2022. Excluding however, and one-time non-cash impact, the net profit attributable to parent company increased 20%. And the cash flow performance has been positive for two years and the operational cash flow estimated to be RMB2.3 billion, the highest the record in recent years. And the estimated net cash flow was around RMB1 billion. To repay all our shareholder support to the BEWG, we will maintain the annual dividend of 2022 [ph] to HK$0.157 [ph], namely HK$0.087 [ph] in the second half of the year, and in the future, this level of annual dividend will be remained. And secondly, let's see the revenues of different segments. First of all, water treatment; this part occupy in the total revenue around 47% net profit attributable to parent company; 72%, decreased the compared with 2022, mainly because financial consolidation with the BEUR. Excluding contribution of BEUR, the water treatment service revenue occupies 60%; 2 percentage points higher than 2022. Net profit attributable to parent company, 73%, the same level as 2022. And then, in Mainland China, the sewage and reclaimed water treatment service revenue and this segment occupy around RMB8.2 billion, increased by 2% compared with RMB8.1 billion in 2022 with a gross profit margin of 55% because of higher electricity bills, and one-time impact, it’s 2 percentage points lower than 2022. Excluding the one-time impact in two years, the year-on-year increase of our revenue would be 7% with also the gross profit margin remaining unchanged. And in terms of water supply in Mainland China, the revenue was RMB2.5 billion, and it increased by 12% compared to with RMB2.2 billion in 2022; mainly because of higher volume of water supply. And the gross profit margin 45%; 3 percentage lower than 2022, mainly because of rising electricity costs. And in overseas sewage and reclaimed water treatment service project; the revenue amounted to RMB900 million, the same level as 2022. And the overall gross profit margin in overseas project 24%, 2 percentage lower than 2022; and that is because of the rising electricity bills and chemicals cost. And in terms of construction service; in 2023 the occupation of this part of service reduced to 22%, 2 percentage points lower than 2022. And also the net profit attributable to parent company around 18%; same level as 2022. The OTA construction service had a revenue of RMB4.5 billion, 14% higher than 2022 mainly because of all the accelerated project construction in the first half of 2023 contributing to a higher production value and the gross profit margin 18%, same level as 2022. In terms of comprehensive treatment and construction service, the revenue registered at RMB800 millon, 33% lower than RMB1.3 billion in 2022 because all water environment comprehensive renovation projects have been suspended. And the remaining projects are just in the very last period and at the same time, more renovation projects have gradually entered into the operation stage. And also the EPC and the water environmental operation service revenue with cash flow occupy upto 84%. And before this segments in the future, it will remain approximately the same level. And also in 2023, the gross profit margin of water environment comprehensive construction and renovation was 26%; 10 percentage points higher than 2022, mainly because of the changed revenue structure. EPC and operation service with higher profit -- gross profit drives higher overall gross profit margin. In terms of technical service and self [ph] machinery, the revenue was around RMB2.5 billion; 16% lower than 2022 because of the lower industry needs. And the gross profit margin 43%; up by 3 percentage points than 2022, mainly because of a higher share of the professional service with a higher gross profit margin. And in terms of other resource service; we talk about it here -- the BEUR revenue registered RMB1.5 billion accounting for 21% net profit attributable to the parent company; RMB120 million occupying 2% because of financial consolidation and if it is reduced to the whole year, the revenue and net profit attributable to parent company increased both, 19%. And in terms of capital expenses, in 2023 it was RMB6.8 billion, 8% higher than 2022 because of accelerated project construction in the first half of the year was also a higher level of construction cost. And in terms of overheads with management organizational change and improved operation and management efficiency in 2023 the overheads in the whole year registered RMB3.3 billion with our same collaboration of 2022. So with BEUR, the whole year overhead RMB3.2 billion, it basically remained the same level. In terms of financial expenses was higher [ph]; up by 278 basis points averagely [ph]. The management adopt timely measures to adjust the long currency structure and optimize the fundraising cost environment. The financial cost of BEWG in 2023 was around RMB3.3 billion, and the comprehensive fundraising cost was 4.29%. And -- actually, it is mainly because of the rising fundraising costs in overseas. And in side of China is around 2.6%, and in terms of our asset and liability situation, the cash and cash equivalent by the end of December 2023 it was RMB10.2 billion. And in terms of the net debt ratio it was 118%; same level as the end of 2022. Speaking of our operation performance in terms of water project in 2023; the newly contracted water volume was 1.55 million ton per day and the EPOC light asset project accounted for around 1.02 million ton per day. This has been low comparatively speaking recent years, and in 2023 will withdraw -- the withdraw was 1.87 million ton per day. And for instructed operation project, 1.19 million ton per day expired, and the active liquidation was upto 260,000 ton per day, and with also the governmental contract changes with around 420,000 ton per day. And the total number of signed sewage treatment plants was 750; reclaimed water plants, 69; water supply plants, 170; seawater desalination plant, one; and there were 500 township and county sewage treatment facilities. And in terms of operation; we have operating sewage treatment plants, 589; reclaimed water plants, 47; water Supply plants, 155; and the township sewage treatment facility, 398; and it's increased by 1.19 million ton per day compared with the end of last year. And in terms of sewage treatment, operation size is upto 19.29 million ton per day and where the Quasi4 [ph] category, 4.44 million ton per day occupying 23% [ph]. The Level 1 project, 14.26 million ton per day occupying 74%, and with Grade 1B project, 440 -- 540,000 ton per day occupying 2.8%. And in terms of the water price, the weighted average water price was RMB1.49 per ton, and it increased by 1.4% compared with 2022. And for water supply average price, it was RMB2.15 per ton, increased by 0.94% than 2022. And in terms of projects under construction, in 2023 it was 4.06 million ton per day. And in 2024 they estimated new projects to be constructed with 450,000 ton per day. And in terms of water environment renovation, by the end of December 2023 there were three projects in this aspect or EPC OOM [ph] projects, not funded by BEWG. And during 2023, we have altogether 12 projects for water environment treatment under construction; 11 of them were light asset project occupying the amount of the total contract 0.8%, and one is heavy asset project. And we have altogether 14 projects entering into the operational period already. And speaking of the third part of my presentation, sustainable development; as all stakeholders have been paying more attention to sustainability, BEWG positively respond to the national strategy and to level up sustainability to the Group's strategic focus. And over the past year we've made a number of achievements in sustainability. In 2023 BEWG was selected into SP Sustainable Development Annual Book, by first phase, and we were raised that to Grade A in MSCI ESG [ph], the only Asian company in the water business, and all these could demonstrate that the sustainable achievements by BEWG have been recognized by the capital market. And so we still follow the spirit of customer service of source and innovation as a way, and we have been expressing our attitudes towards sustainability as well as collecting opinion from all our stakeholders. And with evolving ESG environment, social and governance; we have been taking actions in a number of low carbon projects to deal with climate change and explore new models of water business. And the core performance will be revealed in our 2023 Sustainable Development Report which will be released in April 2024. And in terms of a special interpretation of BEWG’s performance, I would like to emphasize two points. Over the past 20 years of rapid development, water treatment in China has basically entered into a very steady stage of development. In terms of sewage treatment, it's upto 97%, 98% or so -- the number of newly built sewage treatment plants is reduced rapidly, as we've emphasized last year. So it has transferred from an incremental market to a stock market with a quality improvement as the core instead of the quantity increasement [ph]. So with years of preparation and hard assets, in 2023 we decided our future development plan in the next 5 to 10 years. And as we've introduced, we have around 1,000 sewage treatment facilities covering 32 million -- 30 million to 40 million tons of sewage to be treated, which will still need to be managed by us; we will keep increasing our management’s capability and level of this. So in terms of the stock; the inventory in the market -- we'll try to make more profits. And at the same time, we've determined another development pathway in the era of inventory or stock market. We could see that for Mainland China; from government announcements at all levels, more investment will be made into water treatment business in China. Previously, we focused more on water supply plans and sewage treatment facilities but water business is more than that. So with technology innovation, we set up professional or specialized companies to manage better the water business, which is a strategic action that we're going to take. So in the beginning of 2024, actually in 2023, we established two companies; one is BEWG Future Technology, and BEWG Cloud Service. And these two companies; the first one, the BEWG Technology, it serves as the RMD platform of BEWG with the 6-7 years technology expertise accumulation in the past. We’ve developed our technologies and we've introduced leading technologies from both, China and abroad, and we'll be applying these cutting edge technologies producing constantly new value. And our research institutes will be upgraded into this BEWG Future Technology company, and it will follow a technology driven and market-oriented development mode introducing cutting edge technologies from our partners; so that we can provide the latest technology needed by the industry. And that corresponds to our national governments requirements to improve the new quality productive forces. And on the basis of this technology company, we will form a cluster of technologies covering all valuable segments in the market, and this cluster of professional technologies, professional companies will be grounded on the most advanced technologies in the industry. And the second company I'm going to talk about is the BEWG Cloud Service company. It adopts the industry plus internet mindset and it constructs technology architecture applicable for a number of water plants facilitating water plants upgrading and innovation; so all plants could be connected instead of being operated independently, which will significantly enhance the operational efficiency of the existing facilities. So, we believe their operational costs will be half of that our estimate and expectation, and this Cloud Service company will provide relevant technologies and products needed by these water plants, and this is also incubated under BEWG. So, with these specialized or professional companies, and the clusters of such companies as a strategic plan of BEWG, and with successfully incubated BEUR whether it’s revenue upto RMB5 billion and its profit was around RMB300 million as well. And at the same time, I believe urban services or environmental sanitation; this sector is in a rapid development stage and we believe the growth of the EU are will be much faster than that of BEWG. And 3 years ago, we set out to for BEQP [ph]; and their profit last year registered RMB30 million, and it will be listed in 2025. And this year, it’s revenue -- it's profit is estimated to be RMB60 million. And their main business is to create more assembled and upgraded water plants based on existing water plants, providing more advanced technologies and services as a equipment company. And at the same time we also have BEWG Industry Environmental Technology Company; it is engaged in comprehensive management of the environmental system. It was established last year and according to our estimate, it will register fast development in the future as well. Next is about Beijing Enterprise Trump High [ph] Technology Company; environmental technology, and it is focused in intelligent sewage system. And so we know that companies with investment no less than RMB1 trillion would be included in the whole water business pipeline network. And this company, Trump High [ph] is engaged in management, maintenance and repair of such pipeline network systems. It is also our light asset company and it’s CAGR is approximately 100% as well. And also we have Fiji WellPoint [ph] engaged in filling of urban rubbish, and also solid waste treatment business. And also we have BEWG Education facing towards those who need more educational services. And also we have BEWG Smart Purchase; this professional supply service company under BEWG. And we also have another company providing digitalized solutions in the Environmental Protection Water Business. And in the future, we expect that we will incubate a number of new companies and also with cooperation with a number of other partners in the corporate world and also universities, research institutions, we will cultivate a number of specialized companies to better serve BEWG’s future development to achieve secondary growth. And our traditional business, water business, will maintain its steady growth. And we believe by the end of 2024, we will realize the growth of 10% approximately. And if your interest in this part, we can maybe ask some of your questions in this aspect in the Q&A session later. And speaking of the whole year performance in 2024, considering the macroeconomic situation out there, as well as BEWG's development status, we focus on; one, core; two, basic fundamentals with cash flow as a core business and consolidated organization as the fundamentals, and then we will achieve more growth. And we do not put forward requirements for the increased volume, and we now are holding more than 100 contracts upto 1.4 million tons. So, that remains our fundamentals but compared with the previous 4 million or 5 million ton, it's significantly reduced; and maybe for the whole year, it will be around the 1.5 million ton but we do not propose any further target. And in terms of financial data, we will access more light asset products. For interested operation, BEWG’s market share is around 6%, 7% and around 93% is mastered by other companies. But as a leader in the industry we will set our target as this in terms of financial statistics. And in terms of construction, the revenue from this segment will be reduced continuously because there wouldn't be much new project volume. And for water business, the increase would be 10%, and for construction, it will be reduced the 20%, and the overall growth rate will be around 5%. And for urban resource service, it will be increased by around 20% as well. So, these are conservative numbers and in terms of capital expenses, we expect it to be RMB6 billion; it is comparatively low. And the net debt ratio will be controlled within 150%, and we expect the real world situation to be around 118% of approximately same level as this year. So, these are all from me.
A - Unidentified Company Representative: Thank you, Mr.Yu [ph] for the presentation. And now we move on to the Q&A Session. Welcome to ask questions. So, questions cannot be asked in the English Channel, but you can contact the IR team after the meeting. Sorry for the inconvenience. And for those in the Chinese channel, please raise your questions through telephone calls or in the chatting room online. I will hand over the floor to you based on the order of you asking the questions. And the please introduce yourself before asking the question.
Unidentified Analyst: [Indiscernible]. The future changes in the financial costs -- financial expenses of BEWG; could you give us some guidance? There are two dimensions; the first is interest rate, and the second is the total amount of that.
Unidentified Company Representative: So, for the interest rate -- and I believe you are very familiar with that. For 2024, we hold a very optimistic perspective. And we know that in overseas currencies we tend to be depreciate. And in China, the RMB might depreciate further and that will be beneficial for us. And we have around our profit of RMB600 million because of this. And in 2024, we may trace some of it back, and this is a very helpful factor for us. And because we cut-off our investment, so -- I believe we will have not much -- the newly added debt; so we need to repay the old debt and the financing cost or the fundraising cost. In 2023, it was already very high; more than 4%. Usually, it was only around 3% -- 2% or 3%, and in 2024, we are also quite optimistic about this. We believe that it will be reduced further, and we expect it to be around RMB200 million to RMB100 million; that's based on our estimates, but of course, it is not controlled by us, it can be easily influenced by external factors. So compared with 2023, we believe with these two indicators -- with these two dimensions up there, it were to be approximately the same level. Q - Unidentified Analyst And also question from Roman [ph]. Any further guidance on the profits in 2024?
Unidentified Company Representative: As Mr.Yu [ph] mentioned, net profit attributable to parent company will increase by 5% compared with 2023, especially in terms of operational profit. We are confident about this because of its greater potential. So, we believe -- overall speaking, it will be up by 10% compared with 2023 in terms of stock operation.
Unidentified Analyst: Thank you for the answer. And still a question from Leisang [ph]. Any expectations for the dividend policy this year?
Unidentified Company Representative: Last year cash flow turned positive, operational cash flow more than RMB2 billion; and we expect the dividends -- the total amount of the dividends to remain unchanged. So, we maintain approximately the overall level of dividends.
Unidentified Company Representative: Thank you. Mr. Yu [ph]. If you would like to talk to their management directly; you can ask a question or apply to ask a question through the telephone call mode or in the chatting room of the online meeting room. So, another question from the telephone call side. Ibe [ph] from Hong Kong. Hi, we can hear you. You are now online.
Unidentified Analyst: I am from HSBC. I have a few questions to ask. First, you mentioned BEWG’s attitude towards dividends in 2024. So, in -- from the perspective of reform of SOEs, and also from the perspective of return for the shareholders; any specific plans? And also on the other hand in the long run, where the dividends maintained unchanged on the long perspective or in what case it will be improved?
Unidentified Company Representative: So, I believe this is one question in general, in terms of returns for the shareholders and also our long-term dividend policy. In the next three to five years, we will maintain a minimum level of investment, not like in previous years we had a huge amount of investment and we expect the cash flow to be constantly improved. And we believe the dividends will be maintained unchanged in 2024. And if the cash flow is even better than now, we expect to enhance the dividends.
Unidentified Analyst: Thank you for the answer.
Unidentified Company Representative: Also, thank you for your question. If there is no further question, we'll move on to the next question. From the telephone side. With telephone number ending 0805?
Unidentified Analyst: I am [indiscernible]. I have a few questions to ask. First of all, in 2023, we talked a lot about the rising -- the expectation of the rising water supply price. So, any latest information on this? And second question, as Mr. Yu [ph] said, the future dividend level is also decided to some extent by cash flow performance. So, do you have any specific expectation for the future cash flow performance? And is it also influenced by the receivable accounts? And any possibility for it to improve?
Unidentified Company Representative: Yes, thank you for these two questions. We discussed a lot about the rising water supply price. And it's really difficult to predict the national policy. However, we could go see that based on the fact last year, and also based on the fact that price haven't been changed -- haven't been adjusted for some of our projects; we believe in 2024 many of these projects will have a higher price but it's not for all. We know that we have a department investing into this, and it's expected that water price by 10 companies approximately will be raised this year. And that is confirmative. So with this higher water supply price, we believe that the sewage price will rise accordingly as well. But of course, the benefit of a higher water supply price would be the direct revenue generated for us with benefits directly from it. And for the sewage price, which gets higher as well, we actually obtain indirect revenue out of it; and that is an indirect benefit for us. And that is why we hold optimistic attitude towards this rising water price. And of course, a lot of formalities necessary to go through. And in terms of dividends, if the cash flow performance keeps improving constantly, the dividend level might be enhanced as well. And if the accounts receivables performance would be good enough, the cash flow performance will definitely be improved continuously. And that is a big pressure for a lot of Chinese companies because of the very difficult financial situation of the government. It's really difficult -- it's really tough to collect payment from the government. But still our payment collection rate of water supply is more than 95% last year, and for sewage it was more than 90% at least, and for water environment renovation, it was the same performance to maintain all projects run. So we believe our payments collection performance was decent, it was okay. But of course, as China's economy is getting better, and if the government's paying capability can be improved as well; we believe our cash flow performance will be enhanced as well constantly, and then the dividend will enjoy a better situation as well. So, as we are focusing more on the light asset project; so as long as we maintain our investment limited, and at the same time we collect successfully payments, I believe the cash flow performance will definitely be raised.
Unidentified Analyst: And I would like to ask a follow-up question. You mentioned that around 10 or a dozen water companies confirm their price will be enhanced. And how much will it be higher? And what is the share occupied by these a dozen water companies in the overall volume?
Unidentified Company Representative: It's really difficult to predict the water price increase, specifically because it is not decided by us because the government need hearing sessions and unnecessary formalities will be gone through. But a consensus on the market is like 30% increase might be the case. Because the adjustment can't be frequent, it can't happen every day; and we believe commonly that it might be 30% of increase, but it could range from 20% to 50%. And it is really difficult to predict. And we believe that the share of these dozen company occupied around 50% of the overall volume.
Unidentified Analyst: Thank you for all the very clear answers.
Unidentified Company Representative: Thank you.
Unidentified Company Representative: Another question from the telephone side; Tamo Huan [ph].
Unidentified Analyst: Yes. I can hear you. I have two questions. The water supply growth performance profit; it decreased significantly. So maybe in 2023, the government had considerations and the price adjustment might happen later? And the gross profit in water supply has been decreasing but in the future, what would be the reasonable return in this segment because the overall return rate or the yield rate is closely related to the interest rate in the market? And the second question is about the payment period for the accounts receivable. How would you like to expect the payment collection rate in the future? And also the third question. Now in the [indiscernible]; in many provinces and regions, the environmental protection companies have been established. And when projects expire, the government will still continue those projects, those water facilities and cash flow would be maintained. So which governments would be willing to entrust us for operation? And how would you evaluate government's loyalty and the transfer of the royalty?
Unidentified Company Representative: Well, the first is about electricity costs. We talked about the influence of the raising electricity cost. And in 2023, actually, the electricity -- the water price was not adjusted in time but the policies were there. So for this franchise rights, usually there is a correlation between electricity cost and the water cost. But the change in water price might be lagged behind to some extent and we expect water price to rise this year. And in terms of expectation of the return; so -- there is no -- the so called guidance on the reasonable return with the lower interest rate will also be reasonable return be reduced.
Unidentified Analyst: Is there any specific indication in this?
Unidentified Company Representative: So, with this price monitoring system we have found about the different water price structure in different regions. Let us apply for residents; it’s inverted in many places and the water supply to the residents would be the cheapest. For example, the water price would be RMB1.5 and the cost is actually RMB1.6, RMB1.7 higher than that, but still we generate profits because of the water supply to engineering projects, to the industries, to maintenance and repair project. And based on water adjustment -- water price adjustments, we would adjust the water price higher for price raise; one possibility. And secondly, as we've mentioned we have a cluster of professional companies providing valuable services. For example, Smart Water business to facilitate the development of the water plants, and lower their costs to help them generate more profit. But of course, one thing I need to clarify; these professional specialized companies will gain profit as well. So, in the future comprehensive value will be generated. And speaking of the payment rep [ph]; it would be approximately 3 months based on the contract, but it might be longer. And we will calculate our average payment collection rate for the whole year period. In 2022 it was quite tough, and in 2023 it was okay and we believe in the future it will get better. And for PPP project payment collection, and because of the national debt project; with PPP project we gained upto more than RMB1 billion for these projects but we're still negotiating on PPP projects. And maybe we will adopt one-time buyback of these projects which will relieve the cash performance as well. So with these PPP projects or with the revenue sources of disappearing [ph], being reduced, and now we could see that for the government their debt issue cost was around just 3%. And why not buyback but paying me the return upto 8%? So actually the government would buyback in advance, and we would also receive cash flow and we will make more investment into research and development of new technological products. And one project expired; with BEWG's Advanced Technology we were getting benefits, and with our Cloud Service company and with a number of internet based solutions we proved that BEWG is a replaceable and we could get more projects for interested operation. So these projects are not because of our good relationship with the government; that's because our irreplaceable value, we could provide services that other companies could not. So with years or around a decade of experience accumulation BEWG is absolutely the leader. And we believe we have opportunity to open up the 2.0 era of China's water business industry. It's just like turning the mobile phones, like upgrading the mobile phones, upgrading or iterating or the PCs, mobile phones and technology projects and product. And in the water business with light asset projects and with less and less investment, we can still achieve more profits in the future because of technology. With just what we have in the market, it is really difficult to grow any further; maybe not even 10%. So this is a basic logic for our business growth in the future.
Unidentified Company Representative: Thank you for this question. And thank you for your answer, Mr. Yu [ph]. And next question from Chen Shu Shing [ph]. Also on the telephone call.
Unidentified Analyst: Hi, can you all hear me?
Unidentified Company Representative: Yes, no problem. It's loud and clear.
Unidentified Analyst: Hi, Mr. Yu [ph]. Hi, management. I have two questions about capital expenses. Based on the annual report, we believe in the future we will be light asset project oriented. But still, the production capability in operation is still upto RMB10 million per day. What's the plan for this part? And how much capital expenses is needed for this part of operation? And the second question is that if no further investment will be made into heavy asset or tax [ph], but all light asset project. And what will be the minimum capital expenses for these operation project for these light asset project?
Unidentified Company Representative: Okay, let me answer your first question. So it's about the difference between our operating water volume and designed water volume. And some of the projects have been post-point [ph]; we finished first period of those projects. For example, we finished first the 50,000 ton, and it's designed to be 100,000 ton, and we finished the first 50,000 ton and maybe in five years, we will finish another 50,000 ton. But when that time comes, maybe there's no need anymore, but the contract is still there. So we still needed to calculate age based on the designed volume which is 100,000 ton. So we believe that in the next year, the natural increased -- naturally increased water project will be up to around 1 million ton amounting to RMB2 billion, RMB3 billion. And since it's already covered by the contract, so we need to make this investment, otherwise the government would think that's a violation of the contract. So you can understand as a passive absorption of the contracted volume; but of course by the time when the second period comes, maybe it's not needed anymore and it won't be funded by the government. So, we can call it the passive absorption of the contracted volume. And it's around 1 million ton per year and it's amounting to an investment of RMB2 billion, RMB3 billion. And speaking of a capital expenses; in 2024 it will be RMB6 billion. And as I understand, it will be mainly about construction; it does not involve any update of equipment expiring. And for sewage, it's RMB2 billion, RMB3 billion; and for water supply it’s RMB3 billion. So altogether, it's RMB6 billion. And compared with the total capital expenses, it’s just a very small piece. So if we stop investing, and we just maintain capital expenses for production operation, for example, if the facility breaks down, we need to spend money to maintain and repair these facilities. So it's my be expected to be RMB5 billion or RMB6 billion
Unidentified Analyst: For other -- for the overall capital expenses?
Unidentified Company Representative: That's the expectation we provide. So the so-called capital expenses would be investments on to the construction projects on BOT Construction of financial consolidation.
Unidentified Company Representative: Yes, thank you. Thank you for this question. And thank you Mr. Yu [ph] for the answer. And the next question from Li Chong [ph].
Unidentified Analyst: Hi, can you hear me?
Unidentified Company Representative: Yes, no problem.
Unidentified Analyst: Mr. Yu [ph], I have a few questions to ask. First, we can see the absolute value of accounts receivables; it’s decreased. And I want to know that in water supply and sewage with no obvious increase, how would you like to expect the account receivables of BEWG in the future still to be maintained at around RMB10 billion? And how would you like to see the control of accounts receivables in the future? Any good way to effectively control it? And second question, from the annual report we’ve learned the cash flow performance turned positive and it covers capital expenses. So, I would like to state that with the cash flow upto more than RMB2 billion it would cover the expenses of course, and in this aspect, under such circumstances with also the high level of dividends; how would you like to repay the debt later on. And third, speaking of the changes in water price -- higher water price would generate more revenue for the government? And from the company's perspective, how can we guarantee that companies can benefit from water price rise? Thank you. These are my questions.
Unidentified Company Representative: Thank you for these three questions. So the first two questions are quite similar. Speaking of the accounts receivable; as I said last year, BEWG realized that accounts receivable is quite crucial. So payment collection has been one of the priority or the biggest priority for BEWG in recent years. So in 2023 we’ve done it well, and as you see it's decreased slightly; as you could see, it's very hard one situation. And so with our stock business, around more than RMB30 million, I think reaching our production target is already a very easy task for us. And to finish the whole economic circulation, we need to make sure the payment is collected -- the payment is done. And also, we are faced with challenges, also from the competitors. As we said that the generation of revenue from water cost comes from two aspects; the first is water supply to the residents, and second, we could see that the government subsidies play a very important role. Because per ton of water, the residents will just pay RMB0.9. And sometimes overall cost could be upto RMB3 or RMB4 and the government needs to cover a big proportion in the water cost with our subsidies. And because we've stepped up our payment collection endeavour, we believe that the payment collection rate is good, it's 95% of all water supply, and 90% for sewage, and we believe it's decent enough performance. And speaking of the operational activities, you describe it as a high level of dividends. Well, it is still no more than the profit; not for this year, right. So, even though it's a very high level of dividends, it will not surpass the profit. As long as we can maintain a benign performance of payment collection, we believe we could pay the debt by the bank. And from a recent debt issue performance, we were pretty good. And that indicates that from the bank's perspective, BEWG’s debt repaying capability is good and also with a very attractive price for people to buy. And of course, if you look at the entire cycle, there is no problem with it; we collect the payment and we repay the debt, but of course on the prerequisite of positive cash flow and also the cash flow moving towards a better direction. And the third question is about the benefits of water price adjustment. So, if it is a water company -- if the whole lifecycle of water for the whole city is covered by this whole company; pipe network, water transport, and the drainage. And then this company will benefit directly from the water price adjustment; if you arrive the water price today, tomorrow I will earn much more. But for sewage treatment service, it is not this way; it is indirect. Because it is closely related to water supply, so if the water is not supplied by our company, we could not generate in that direction [ph] -- we could not generate a direct revenue from it. But of course, if a government stuck in a very difficult financial situation; it may contain the water price adjustment to pace. And also the payment will be done and our payment collection will be better. So for water price adjustment, it will definitely be beneficial but for water supply it is -- it is direct, and for sewage, it is indirect.
Unidentified Company Representative: Thank you, Li Chang [ph] for your question. And thank you Mr. Yu [ph] for the answer. And next question is John Chow [ph].
Unidentified Analyst: In 2023, what were the cash flow of operational activities of water supply and sewage treatment respectively? So, cash flow with the operational activities is mainly about payment collection; and for water supply is one -- RMB15 billion.
Unidentified Company Representative: No, the total payment collection was RMB16.5 billion, and for water environment it was around RMB2 billion.
Unidentified Analyst: And Joe Chang [ph] asked the administrative expense was RMB1.67 billion in the second half of the year, increasing significantly compared with RMB1.3 billion; so what was the reason behind?
Unidentified Company Representative: Okay. So, this is -- this occupies a bigger share. So, we did not prepare fully for this question but it was also influenced by the financial consolidation with BEUR in both, first and second half of the year. So compared with first half of the year, it was a significant improvement; but if you compare it with 2022, it was basically quite similar and there was no extra administrative expense because we had strict financial control in recent years. So genuinely, the expense and revenue ratio in 2023 decreased because the revenue increased by 14% and the expenses slightly reproduced even.
Unidentified Company Representative: Thank you. And another question from Chai Peng Yo [ph].
Unidentified Analyst: Will there be a recording for the whole meeting?
Unidentified Company Representative: Sorry, we do not provide the playback. And another question from More [ph].
Unidentified Analyst: What is the payment collection rate of PPP projects? Any risk about non-performing debt or payment collection on these projects?
Unidentified Company Representative: PPP projects can be a very general concept, it covers water business; water service and water environmental renovation. Last year for water environmental renovation, it was around 70%, and for water surface it was around 90%, and for water supply it was 95%; the payment collection.
Unidentified Company Representative: Another questions on Pang Wu [ph] on the call.
Unidentified Analyst: Hi, can you hear?
Unidentified Company Representative: Yes.
Unidentified Analyst: So, I have a few questions. First of all, you know our plan for 2024 for the water service it will increase by around 10%. And where will that come from?
Unidentified Company Representative: It covers the following aspects. First of all, we will have real commercial water projects bringing revenues and profits. And secondly, we are simply reducing the water plant operation costs, controllable costs, and we are expected to obtain more operational projects. So if we do not take into consideration policy interest it will be like this, but of course for hyper [ph], we could not control that but excluding the hyper factors, it will be a 10% increase.
Unidentified Analyst: My second question; last year was consolidation of financial statements of BEUR is expected to increase 20% this year. And is it after a secondary proposal, well because it invests into environmental sanitation service or more accurately, it is about the overall urban management includes urban environment cleaning, urban facility management including traffic lights, public toilets, etcetera. And actually 20% is low, we're expected to be 30% to 50%. Because you know, this sector is growing so fast. And the government's will pay; local governments will pay for that, yes. And if we see this as a main growing growth point in our company, because it covers the residential use, will it be any pressure on our cash flow or payment collection?
Unidentified Company Representative: No. It's payment collection performs even better than the water treatment service because rather than prioritized payment to environmental sanitation, if you remember that's in the city in North China last year, sanitation workers suffer from back pay [ph], and that allows a lot of sensation in public opinions. So, the government start to prioritize paying the sanitation rather than to urban environmental sanitation, it is even more important than the water treatment. And that is a very important task for the government to guarantee. So at present, we do not worry at all about payments collected from this sanitation segment.
Unidentified Analyst: Okay, thank you. Our next question; in terms of technical consulting service, we're expected to grow 5%. But in 2023 it decreased by around 10%, more than 10%. So, how can we get this 5% increase?
Unidentified Company Representative: Well, it was reduced because of the lower needs last year and the business covered by our [indiscernible] institute were lower. And that was a general trend last year. Design [ph] Institute suffered a lot last year. And these two Design Institute's [ph], when they operate pretty well, their profit would be upto RMB100 million combined. But of course, if they can maintain the present level, other professional companies business including the equipment company, pipeline network, industrial environmental protection companies, they will all register growth upto 50%. But that is on the low base. And maybe in years, their revenue would be upto RMB100 million. And that will cost the overall 5% of increase as you said. And for the design institute, we do not expect them to make a breakthrough but a lot of revenues will be generated from other sectors of our business.
Unidentified Analyst: And also about liability; on the balance sheet I could see that compared with 2022, 2023 fixed term liabilities shrunk?
Unidentified Company Representative: No. Maybe it was because of different currency. This year all figures were in RMB not Hong Kong dollar. And you can check it more carefully later. So for the fixed term liability, it was approximately at the safe level. It slightly decreased but you can consider it as a -- at a similar level. And for the cash this year, we’ll -- we use part of the cash to repay the debt, we will try our best to maintain the level of debt. And the investment will be within a limited scale and in 2025, it will be even at a lower level. So, we do not plan to use much of the cash for debt repayment but for those high interest debt, we may repay it, and we want to keep most of the debts at a lower rate until the overseas debt when they remade them, and we will know more inside of China because of the difference in the rate as well; it's upto 2 to 3 percentage points.
Unidentified Analyst: Okay. The last question about the accounts receivable in the water environmental renovation. In the last decade, it has accumulated upto RMB20 billion. If the accounts receivables decreased in the future, will it influence the dividends? Will it lower the dividend?
Unidentified Company Representative: If it is possible to depreciate, I believe that was done basically in the previous year’s already with accounts receivable now. And of course, as you say, it's RMB20 billion but most of them have been collected. And in the future, I don't know how much. The only risk may be the government's going bankruptcy and the government’s will not pay, and maybe all industries will suffer from a lot of problems by then. And with PPP project contract if BEWG has accomplished all the projects, and now it's the time for the government to pay. If the government could not pay, maybe we could address the issue with a lawsuit but it cannot be addressed, it's not decided by BEWG.
Unidentified Analyst: But will that influence the promise of dividends?
Unidentified Company Representative: Well, at least for 2024 we do not think it will have an impact on the dividends. But in the future, if any unpredictable change happens; I am not sure because I can't say anything about the dividend policy change on behalf of the Board. And just based on the current situation; it's not very probable. Even if it will occur, it's not very likely though. In the past years, we could see that we gained about more than RMB1 billion, and the payment collection in 2023 performed better than 2022. And if you asked me to be pessimistic, that's not possible because in 2023 it was pretty good. So why should I predict a bad performance in 2024, 2025? If it was also in 2023, I may have a more pessimistic perspective but the case is not true.
Unidentified Analyst: Okay, thank you. These are all my questions. Thank you very much.
Unidentified Company Representative: Thank you, Mr. Chan [ph] for your support to the company and thank you for your question. Our next question from the mobile phone side, Luke Cohen [ph].
Unidentified Analyst: Hi, can you hear me? In 2023, capital expenses RMB6.8 billion, and in 2024 it would be decreased. Do you have any framework or maybe you consider any buyback? So, what is the policy about buybacks and dividends? In 2024 it is expected to be RMB6 billion?
Unidentified Company Representative: No, we do not have buyback plan. And if we have any buyback plan, we will have board meetings to make decisions. And for the dividend policy cash flows has been positive for two years consecutively, it's been quite good. We maintain relatively high level of dividends and we predict that the cash flow will keep improving and if it improves significantly, we may raise the level of dividends. Because of the volatile market situation, I don't know if any corresponding policy will be taken. As far as I know, we have not received any such orders or instructions. And if you refer to the Annual Report more carefully later, you may have the clue because one of our foreign investors -- for the very first time last year, we announced all our results in our RMB; so it's around a difference of 8% [ph]. Our people may have misunderstandings but we are not sure; maybe the currency will cause some misunderstanding, so refer to the Annual Report later more carefully.
Unidentified Company Representative: Thank you for the answers, management. We see another question from Zhao Zhao [ph]. In all the indicators for guidance of 2024 for water treatment business there will be increase of 10%. Does it mean that for water supply and sewage treatment?
Unidentified Company Representative: Both Yes.
Unidentified Company Representative: And if you want to directly communicate with the management, you can apply to ask the question on both, the telephone call side and also in the online meeting room. Since there is no further question we would like to end our meeting for today. Thank you for your attention. Thank you for your questions, and thank you answers, management.
Unidentified Company Representative: Thank you for your long time support to BEWG. And hopefully, we can meet you next time. And also if you have any questions, don't hesitate to contact IR Team [ph].